Operator: Good afternoon, and welcome to the Fourth Quarter 2014 Call for Investors in Republic Services. Republic Services is traded on the New York Stock Exchange under the symbol, RSG. Today's call is being recorded. And all participants are in a listen-only mode. There will be a question and answer session following Republic summary of quarterly earnings. [Operator Instructions] It is now my pleasure to turn the call over to Mr. DelGhiaccio. Good afternoon, Mr. DelGhiaccio.
Brian DelGhiaccio: Good afternoon. And thank you for joining us. This is Brian DelGhiaccio. And I would like to welcome everyone to Republic Services' fourth quarter 2014 conference call. Don Slager, our CEO, and Chuck Serianni, our CFO, are joining me as we discuss our performance. Before we get started, I would like to take a moment to remind everyone that some of the information we discuss on today's call contains forward-looking statements, which involve risks and uncertainties and may be materially different from our actual results. Our SEC filings discuss factors that could cause actual results to differ materially from expectations. The material that we discuss today is time-sensitive. If, in the future, you listen to a rebroadcast or recording of this conference call, you should be sensitive to the date of the original call, which is February12, 2015. Please note that this call is the property of Republic Services, Inc. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Republic Services is strictly prohibited. I want to point out that our SEC filings; our earnings press release, which includes GAAP reconciliation tables; and a discussion of business activities, along with the recording of this call, are all available on Republic's website at republicservices.com. And finally, I want to remind you that Republic's management team routinely participates in investor conferences. When events are scheduled, the dates, times and presentations are posted on our website, along with instructions for listening to the live webcast of the event. With that, I would like to turn the call over to Don.
Don Slager: Thanks, Brian. Good afternoon, everyone, and thank you for joining us. We are pleased with our fourth quarter and full year results, which were in line with our expectations. The Republic team continues to execute on our long-term strategy, designed to generate consistent earnings and cash flow growth, while continually improving return on invested capital. Some of our financial highlights for the quarter in full year include, fourth quarter adjusted EPS, was $0.50. This result includes a $0.02 benefit from the extension of CNG fuel tax credits. Full year adjusted EPS was a $1.96 and adjusted free cash flow was $709 million. Both performance metrics were in line with the full year guidance we provided at the beginning of the year. Core price in the fourth quarter was 3.2%, and average yield was 1.7%. This is our highest level of average yield in the last four years. Fourth quarter volumes increased to 1.6%, volume growth continues to be concentrated to construction and demolition waste. We returned approximately $780 million total cash to shareholders during the year, which represents a cash yield of 6%. This includes 11 million shares repurchased for $400 million. We finished the year with total shareholder return of 24.7%, the highest level in the solid waste industry and well above the SNP 500 average. Throughout 2014, we discussed our multi-year initiatives that enabled us to execute our strategy. These initiatives are designed to profitably grow our business, enhance the customer experience, improve productivity, and reduce cost. I will now recap our progress made during the year. 14% of our fleet is operating on natural gas. During 2014 we added seven CNG fuelling stations, and now operate a total of 36. We increased the automated portion of our residential fleet to 69%, from 66% in the prior year. During 2014, we certified 14% of the fleet under our One Fleet maintenance program. Approximately 60% of our fleet has been certified since inception. Some of the benefits we are seeing in our One Fleet divisions include, 1% to 2% lower maintenance cost per engine hour, 2% greater fleet reliability, 20% fewer unscheduled repairs, and 50% lower technician turnover. We continue to make investments in recycling facilities to improve productivity, and increase capabilities while rationalizing underperforming assets. We closed seven older recycling facilities that were not earning an adequate return during 2014. We invested $231 million to acquire 132 million of solid waste revenue, at a post-synergy EBITDA multiple of 5.6 times. This includes the acquisition of Rainbow Disposal, a high quality franchise business that complements our Southern California operations. Additionally, we entered into a definitive agreement to acquire Tervita, LLC for approximately $485 million. The acquisition of Tervita provides a platform to expand our presence in the US, ENP waste sector, and unites an experienced high quality workforce with the Republic team. We believe the ENP waste sector provides attractive long-term growth opportunities, and leverages our expertise in waste handling recovery in disposal. The assets are well-positioned with approximately 80% of the revenue generated in the Bakken, Eagle Ford, and Permian basins, we expect the deal to close this month. During 2014, we entered or we heightened our focus on our customers to differentiate our service offering, build customer loyalty, and increase willingness to pay. For example, we launched the My Resource customer portal, which gives our customers online access to their accounts and our services. Over 500,000 customers have enrolled to date. We’ve launched the My Resource mobile app, an expansion of our customer’s online management tool. The app allows customers to schedule services and receive push notifications using a mobile device. We implemented the tablet-based Capture pricing tool, which creates a more professional sales experience, and helps realize better pricing levels at the point of sale. This rollout is complete in 17 of our 20 areas. And we launched priority based selling, or PBS, which enables us to identify end segment customers buying priorities, and attract customers that are willing to pay for enhanced offerings. We expect that PBS will be fully implemented by the end of 2015. I’m proud of our many achievements during 2014, which are reflected in our strong performance. Before turning the call over to Chuck, I want to provide an update on the residential business. Last quarter we discussed the actions we are taking to improve performance. Since then we have engaged many of our municipal customers and made good progress. Most of our municipal partners were on a pricing mechanism that is fair to both parties, and understand low CPA space resets, and that kept pace with cost increases over the last six years. We had continued to educate municipalities and expanded the use of industries published by the Bureau of Labor Statistics, than more closely aligned with our structure. These include the water and sewer and trash collection services index, and the garbage and trash collection index. We are very early in the process, but remain encouraged by our initial results. The remainder of our business continues to perform well, and is generating strong year-over-year increases in revenue and EBITDA. Chuck and Brian will now discuss our financial results, Chuck?
Chuck Serianni: Thank you Don. Fourth quarter adjusted EPS was $0.50, which excluded Bridgeton related mediation - remediation charges of $0.32, and divestiture related cost of $0.04. During the fourth quarter we recorded a charge of $191 million, primarily related to the Bridgeton landfill. The charge primarily relates to additional cost to operate, maintain, and replace equipment to the end of the post closure period. We were able to make better assessment of future costs now that the Leachate management facility is operational. And operating costs stabilized on equipment that was upgraded in prior quarters. The charges accrued upfront, because this is a closed site, but the cash will be spent over the next 35 years. Fourth quarter 2014 revenue was approximately $2.2 billion, an increase of $84 million over the prior year. This 3.9% increase in revenue includes internal growth of 2.6%, and acquisitions of 1.3%. The components of internal growth are, average yield growth of 1.7%. Average yield in the collection business was 1.9%, which includes 2.9% yield in the industrial business, 2.1% yield in the commercial business, and 90 basis points in the residential business. Average yield in the post collection business was 1.1%, which includes landfill MSW of 1.6%. Core price, which measures price increases, net of rollbacks to our same store customer base was 3.2%. Core price consisted of 4.3% in the open market, and 1.5% in the restricted portion of our business. Our volumes increased 1.6% year-over-year. The collection business was positive in 1.8%, primarily due to an increase in industrial volume. Growth in the large container industrial business was 4.8%, and includes C&D and other temporary business, which was up 6%. Volume in the small container commercial business was up 1.2%, and residential volume was relatively flat. The post-collection business was up 60 basis points and included landfill growth of 1.4%, partially offset by decline in transfer station volumes of 1.3%. Within landfill, MSW was up 2.1%, C&D increased 5.5%, and special waste grew 50 basis points. We expected special waste growth to moderate in the fourth quarter, due to a tough comparison in the prior year. Next, fuel recovery fees decreased 20 basis points. Most of the change related to decline in the cost of fuel. Fuel cost decreased approximately $22 million compared to the prior year, which includes a CNG tax credit of $10 million. The average price per gallon of diesel decreased to $3.58 in the fourth quarter, from $3.87 in the prior year, a decrease of 7.5%. The current average diesel price is $2.83 per gallon. During 2014, we increased the amount of fuel we recover through our fuel recovery fee program. Currently we recover approximately 80% of our total fuel costs, additionally 20% of our diesel gallons are hedged, using financial hedges. At current participation levels, a $0.20 per gallon change in diesel, results in a $1 million change in operating income. Since diesel cost decreased significantly over the last two months, we expect to realize a $0.02 EPS benefit in the first quarter of 2015. This relates to the timing of our fuel recovery fee adjustment, which tends to lag the change in fuel expense by one to two months. We assume diesel prices remain at the current price of $2.83 per gallon in our 2015 EPS in free cash flow guidance. We expect a favorable impact to EBITDA margins in 2015, since both revenue and cost will decline by a relatively equal amount. Finally, commodity revenue decreased 50 basis points. The decrease in commodity sales reflects a decrease in tons sold and the decline in recycle commodity prices. Commodity prices decreased 2.5%, to an average price of $113 per ton in the fourth quarter, from a $116 per ton in the prior year. Fourth quarter recycling volume of 568,000 tons, was down approximately 5% from the prior year. Most of the decrease relates to underperforming facilities we closed during the year. Cost of goods sold for recycled commodities decreased $4 million compared to the prior year, a decrease of 20 basis points as a percentage of revenue. Current average commodity prices are approximately $95 per ton, this is down approximately $20 per ton from October prices, which we used to provide our preliminary outlook. This results in a $0.06 headwind to 2015 EPS if prices remain at current levels. We are taking actions to raise prices for recycling collection services, and adjusting rate rebates to our open market customers in response to lower commodity prices. We know our customers value, the high quality recycling services that we provide and we must earn an appropriate return to deliver those services. Before I move on, I’d like to summarize the impact in changing fuel and commodity prices on our 2015 guidance, and reconcile the difference to the preliminary outlook we provided last October. The impact of lower net fuel and lower recycling commodity prices, results in a $0.04 EPS headwind consisting of a decrease of $0.06 due to lower commodity prices, and an increase of $0.02 due to the timing difference of our fuel recovery fee program. Accordingly, the lower end of our 2015 EPS guidance is $0.04 lower than our preliminary outlook. This assumes recycled commodity prices remain at current levels. The high-end of our 2015 EPS guidance is only $0.02 lower than our preliminary outlook. The high-end considers the impact if commodity prices return back to $115 per ton beginning in the second quarter. Excluding fuel and commodity, our 2015 EPS and free cash flow guidance is consistent with the preliminary outlook we provided. Now I will discuss changes in margins. Fourth quarter adjusted EBITDA margin was 28.1% compared to 30.3% in the prior year, a decrease of 220 basis points. Most of the change relates to favorable items in the prior year, which included 160 basis points from one time environmental and risk insurance savings. The remaining 60 basis points change primarily relates to an increase in legal accruals of 50 basis points, and the timing of incentive compensation accruals of 50 basis points. And these are partially offset by a benefit from CNG tax credits of 40 basis points. On a full year basis our EBITDA margin was 28.1%. I’d like to point out a couple of line items. Maintenance cost increased 20 basis points, compared to the prior year. Most of the change relates to increased vehicle complexity and cost to refurbished vehicles and containers to support volume growth. We continue to see higher cost to maintain newer engines, due to enhanced emissions controls. SG&A costs were 10.3% of revenue, an increase of 20 basis points compared to the prior year. Most of the change relates to an increase in incentive compensation expense and an adjustment to bad debt expense in the prior year. I want to remind you that we provide a detailed schedule of our cost of operations and SG&A expenses in our 8-K filing. Brian will now discuss interest expense, free cash flow and selected balance sheet data. Brian?
Brian DelGhiaccio: Thanks Chuck. Fourth quarter 2014 interest expense was $88 million, which included $11 million of non-cash amortization. Our effective tax rate was 38.4% of adjusted earnings for both the fourth quarter and full year. In 2015 we expect to return to our statutory effective tax rate of approximately 39.5%. The increase in tax rate together with the exploration of CNG tax credits results in a $0.06 EPS headwind in 2015. Full year adjusted free cash flow was $709 million. This performance includes a cash tax benefit from the extension of bonus depreciation of approximately $45 million, partially offset by a capital pull forward of $25 million. At December 31st our accounts receivable balance was $930 million, and day sales outstanding was 38 days or 26 days net of deferred revenue. Reported debt was approximately 7.1 billion at December 31st, and availability under our bank facility was approximately 1.6 billion. I will now turn the call back to Don.
Don Slager: Thanks Brian. Before I open up the call for questions, I will provide our 2015 financial guidance. We expect diluted earnings per share to be in a range of $1.98 to $2.04. This performance represents mid to high single-digit earnings growth after excluding the $0.06 headwind from tax related items, and $0.04 headwind from net fuel and commodity. We anticipate adjusted free cash flow to be in a range of $710 million to $740 million. This performance represents mid to high single-digit growth after excluding the cash tax impact from the exploration of bonus depreciations and impact from net fuel and commodity. We expect annual revenue growth of 2.5% to 3.5%, which includes average yield of approximately 1.5%, volume growth of 1.5% to 2%, contribution from acquisitions of 1.5%, a decline in fuel recovery fees of 1%, and a reduction in recycled commodity revenue of 50 to 100 basis points. We anticipate EBITDA margin of 28% to 28.5%, our 2015 EBITDA margin guidance is consistent with our slightly up versus, or slightly up versus our 2014 performance. Most of the expected improvement relates to the impact of lower net fuel. 2015 net capital expenditures are expected to be approximately $855 million, this level of spending includes a $40 million benefit from cost effectively extending the useful life of our fleet, offset by growth capital of 35 million, infrastructure development of 15 million and investments in technology of 10 million. Our 2015 guidance does not include the pending acquisitions of Tervita LLC, which we anticipate will close this month. We expect to maintain our 2015 full year EPS and free cash flow guidance after the deal closes since integration cost and infrastructure development expenditures are projected to offset the contribution from the acquisition in the first year. This is consistent with the expectation we provided when we announced the deal in December. Well onto our business fundamentals and strength of our assets has not change. We will continue to manage the business to create long-term shareholder value in 2015, we will remain focused on executing our strategy which is designed to profitably grow our business through organic growth opportunities and acquisitions, gain pricing power through differentiation and superior service delivery, improve productivity and reduce cost through our fleet faced initiatives. Generate consistent earnings and cash flow growth, and continually improve return on invested capital. And increase cash returns to shareholders while maintaining a strong capital structure. We look forward to delivering on our promises to key stake holders including our customers, communities, employees and shareholders. For our customers we strive to provide the highest level of customer service. We are committed to developing differentiated and superior products that enhance the customer experience. For the communities we serve, we are the go to resource for delivering safe, environmentally friendly and innovative solutions that make communities better. For our employees, training and developing our people is a priority. We strive to be the employer of choice. And for our shareholders, we remain committed to creating long-term shareholder value by generating consistent earnings and free cash flow growth, improving return on investment capital and increasing cash returns. I would like to thank the entire Republic team for the contributions that have allowed us to meet our 2014 objectives, and positioned us well for future growth opportunities. At this time operator I would like to open the call to questions.
Operator: Thank you ladies and gentlemen. [Operator Instructions] Your first question comes from Joe Box of KeyBanc Capital Markets. Your line is open.
Joe Box: So 1.5% to 2% volume growth, that looks pretty good for 2015. Can you maybe just walk us through by activity or at least directionally give us a sense of where you see that coming from?
Don Slager: Sure, well again, the bright spot in volume for 2014 has been concentrated to construction and demolition. So we think those trends will continue through 2015. We did start to see, at the end of 2014, a little bit of MSW volume activity pickup in our landfills. We haven’t yet really seen much activity of real growth in our commercial business. We don’t have much of that baked in really in ’15, but that’s maybe where the upside lies, if we can start to see some of the broader economic recovery start to impact our commercial business. It’s directionally good, but we haven’t seen the uptick that we’d hoped so far, but somewhere out there on the horizon for us.
Chuck Serianni: And one of the ways to look at it too Joe is, if you kind of look at our full year performance this year from a volume perspective, it was 2%. So next year being 1.5 to 2, really kind of a continuation of what we saw on ‘14 with the exception, when you kind of take a look at special waste, special waste was pretty strong this year, really coming off of a really low comp from the prior year. So again, that would probably be the one difference, it’s expressed as far as the rate of growth, rather than that relatively consistent with ‘14.
Joe Box: I appreciate that, and I guess I thought that Don you would have mentioned maybe the commercial business is a little bit stronger. And I think you mentioned last quarter it was up 1.8%, this quarter it was only up 1.2%. I guess I’m a little surprised to not see that sequentially ramp. Is there something out there, whether it’s pricing or just markets that it could be holding that back?
Don Slager: Yeah Joe, I’m sure you got the 1.8, I’m looking at Q3 of ‘14 was 1.1 in volume growth. So we picked up a little bit in Q4. Yield in commercial was 1.8 right in commercial Q4 sort of Q3. So it’s again its trending well. Again, part of this is - our focus is in improving yield, right? And improving the quality of the sale and reducing churn and those things, so we're really focused there, but we think the continued volume in commercial will look consistent with what it is and wouldn’t spend. And that again, if we see broader improvement, then we’ll be the first to talk to you about it.
Chuck Serianni: Yeah Joe just to give an idea, the commercial volume has been ranged down between 1.1 and 1.3 for the last five quarters, with an average of 1.2% for the full year.
Joe Box: One last one and I’ll turn it over. Do you guys think that this complete fall off in recycling prices could potentially be the straw that breaks the camel’s back here? I guess what I’m trying to understand is, if this could actually be a positive, it might be the impetus to structurally improving this business. I know you guys have closed a couple of facilities but do you think that this might cause a broader base industry rationalization, or just the opportunity to go back to clients and break a restructure contract?
Don Slager: Well it is I would tell you, first of all, this is being impacted by really broad global macro issues right, so you’ve got this issue reports compounding that, but you’ve got supply and demand issues are global. You’ve got China economy, you’ve got all that going on. We’ve not seen a precipitous fall like this in quite some time. Over the long term we think it probably comes back. Keep in mind that recycling is a core offering for us, it’s something that, it’s a product our service that our customers want to buy. I think they value it more, probably then sometimes the industry thinks it does or they do. So we're going to look at opportunities, certainly to price our commodities in our recycling services in the open market. As you can imagine, we've already adjusted our tipping rates at our facilities in the open market. We've got a number of really long-term contracts with large municipalities that we're bound to deliver on through the remainder of the term, we’ll do that. We will continually look to your point Joe, for ways to structure things better, but just generally municipalities are not built to accept the risk of commodities, commodity market, so we've got to figure out a better way to do that.
Operator: The next question comes from Al Kaschalk from Wedbush Securities. Your line is open.
Al Kaschalk: I just want to press further on C&D waste. Don could you just maybe share, given your footprint, is this broad-based? And are we still climbing along with retail occupancy rates or starts on housing in terms of this activity?
Don Slager: Yeah, so it is broad-based and we're seeing this growth year-over-year and consistent quarterly growth across the entire company. We now, we've seen volume growth, we've seen pricing growth right? So temporary pricing is up, almost frankly as much as the volume is up. So we are growing units across all of our geographic areas and we're growing price per unit as well. So the demand is there, we've put a lot of our equipment back to work. Chuck made the point that we spent a lot of maintenance expense this year, giving us more - put back from service. So we think it’s going to continue. And remember, I mean your household formation still not at the 50 year average. So we think over time, it could get back to that but I think we’ve got a pretty solid plan for ‘15 and that we’ll see this sort of continued volume as we saw in ‘14 in C&D. And of course we've seen at the landfills too, which again very, very broad-based. So I think I’ve touched before, we don’t really track our halls between residential and commercial, it’s not that meaningful to us. We track more between sort of permanent and temporary, that’s what the meaningful statistic is in our business.
Al Kaschalk: And the point being there is that the temporary number has been strong, but it’s also been better than price?
Don Slager: Yeah absolutely right, so when you think about almost 5% price per unit through all basis across the business, that’s pretty strong.
Chuck Serianni: Again we would expect that, and we've been talking about this for a year. This is what we would expect right as volume demands come back, we would be able to get our fair share of the growth naturally because our footprint is so strong. And that we’d be able to price for accordingly and that’s what we've done.
Chuck Serianni: Yeah in the Temp business in the fourth quarter the halls were up 5.6% and the pricing was up 4.8%. So you are getting double-digit organic growth in that portion of the business.
Al Kaschalk: The other question I had and sort of two-part, but given what’s happening with diesel prices or transportation costs etcetera. Two things, one, do you expect or have you started to see any benefit in the residential side of the business maybe production on consumption, and then therefore waste generation? And then secondly, can you speak to the dynamic that may occur as a result of lower diesel prices by private companies or competitors in the market that theoretically should get more aggressive on price. Is that out there as a concern, how would you respond to that?
Don Slager: Okay, so first of all right, you know that our fuel, we basically have a natural held hedge built up into our operating model with our fuel recovery fee and then our fuel hedges. So you’re structural through his remarks, we're not going to see much of a benefit for dropping fuel prices. So that’s that, as far as consumption goes, well the average consumer because of spending less on fuel, spend more in the economy. I think maybe over the long-term, I think I saw some stature today that said that people are pulling back a little bit because they’re not sure that this low fuel environment is going to last very long. But it lasted long enough and it looks like a structural shift then maybe people will start pulling some of their, the cash back to work in the economy, that would certainly be good for us in the small container and landfill business. So we’ll see what happens with that. As far as what it does competitively, certainly the small companies that don’t have fuel recovery fee, that don’t have this path through mechanism. They are experiencing, today, sort of an immediate improvement in their operating expenses. If they’re really smart, they’ll hang onto that and realize that this fuel environment may not stay over for very long. And they won’t just get it back in their pricing. That would be the smart way to look at it. If, at the same time, our customers are experiencing price benefit from us because we have this fair first mechanism that as fuel goes up, we share the risk, and as fuel goes down we share the benefit. And so our customers are seeing some pricing relief on their bills which I think positioned us pretty well with the customer as a contract as a part of that’s being fair. So we have not heard of any irrational competitive behavior because of fuel issues at this point. I don’t know that, I expected - it’s not keeping me up at night Al. I think overall with dropping fuel prices, our customers probably feel pretty good. We’re doing a good job for them and we’ll continue to adjust their pricing as necessary with other inflation.
Operator: The next question comes from Adam Baumgarten of Macquarie, your line is open.
Adam Baumgarten: Just a question, how should we think about the capacity for additional acquisitions and share purchase, given that’s your way to deal?
Don Slager: Well we gave guidance that we were thinking about $100 million of spend again this year, in and around tuck-ins in the core space. There may be some opportunity to spend some acquisition of dollars in and around the ENP space over time. But basically you can figure that we’ll spend another 360 million this year on share repurchase right, 100 million on tuck-ins. We’ve certainly got the debt capacity to do that, of course we’re going to pay dividend again, and we consistently raise the dividends through time. So our same balanced approach the cash utilization is part of our strategy for a long time, it’s part of the value that we create for our owners, that really hasn’t changed. The degree of acquisition is somewhat limited by the pipeline, we’re willing to do quality deals. We’re not going to buy companies that haven’t been around for a long time with good assets. So that’s - that focus hasn’t changed. The 360 Adam is actually the amount remaining on our authorization, so we intend to complete that in 2015.
Operator: Next question comes from Michael Hoffman of Stifel, your line is open.
Michael Hoffman: I hope I’m going to be able to get this question out correctly. So I’m trying to reconcile the cash flow from guidance at the beginning of ’14, what you did and where bonus - because you didn’t think there was going to be any bonus depreciation when you gave us guidance last year at this time. And at the end of the year we have it. But I’m trying to understand, what’s the delta between the 709 and the original guidance? Is it $20 million, and so X bonus depreciation you came in at 689, that’s still within your range, it was a god number, and bonus depreciation helped by $20 million?
Chuck Serianni: Michael you’re right. This is Chuck. You’re right on with that. But let me just walk through that just in case others on the call don’t follow it. So free cash flow, we reported 709 for the year, you’ve got a benefit from bonus depreciation of $45 million. And then we’ve got a $25 million offset to that, because we pulled forward our capital to the year, which gives us to 689 on an adjusted basis. And that falls actually on a high-end of the range in our guidance that we gave in October, of 675 to 690.
Michael Hoffman: That’s cool. And then what is - is there any bonus depreciation in the 1555 to 1585 cash flow from aps?
Chuck Serianni: No, no, actually Michael, it reverses in ‘15, so when we think about free cash flow for 2015, you actually had a negative because the bonus depreciation of $25 million. And that’s offset by the $25 million of pull forward capital that we have, the capital that we pulled forward into 2014. So that ends up being a neutral on 2015.
Michael Hoffman: Special waste trends, I get you had a tough comp in the fourth quarter, but are you starting to see special waste coming from non-residential sort of type activity that could suggest that - well it might not be in your guidance. And 1.5 to 2 seems like a good number for volume, to me, but if non-res construction starts showing up, maybe that number gets stronger, and a leading indicator would be special waste?
Chuck Serianni: Yeah, special waste has been strong for us. You’re right, we’re seeing a little bit more of that activity, it’s probably too early to call it, but you’re exactly right. When we see more and more of the kind of lane clearing jobs that are precursor to industrial and commercial development, it’ll bode well for that part of the business, but also construction volumes at large.
Operator: The next question comes from Charles Redding of BB&T, your line is open.
Charles Redding: Where do you peg the current differential right now between CNG and diesel? I guess has this dislocation impacted any kind of plans for CNG fleets then?
Don Slager: I would say the difference between the two is probably about $1 right now. And that doesn’t have an impact on our long-term plans. We still think that the movement into CNG makes sense, so we’re going to continue that initiative.
Chuck Serianni: This year, the CNG trucks that we’re purchasing will be delivered into facilities where we’ve already got the infrastructure, where we’ve already set up the fuelling stations. As you know, that’s a big part of the investment when we convert fleets over. So, we won’t be putting in as many new CNG filling stations as we have over the last couple of years. We’ll just continue to bring density to the fleets where we already have the investments made.
Charles Redding: And then maybe you could just speak a little more to overall trends on the residential side. What are you seeing here, and are you seeing any, I guess, projected pullback and spending class, or perhaps any regions that are stronger than others, at least with respect to residential?
Don Slager: No, I guess the most exciting trend that we have going on in the residential, is that we’ve been converting some of our residential customers to the new waste index or industries. And so we’ve got, of our total revenue, call it $700 million to $900 million of residential business that’s not typical five year contract. So these might be anything from a nature way to a - call it a large city, but a typical five year contract in that business. And so $700 million to $900 million of total angle revenue. We’ve already converted about 70 million of that revenue to one of the new industries. So giving the mark of CPI and it’s going to take some time to work through the remainder as contracts come due. But we’ve been at that now for a couple of quarters, making pretty good progress. So the people we’ve been talking to so far have been pretty open to that idea. We have been successful everywhere of course, but we’re going to continue to move down that road. That’s probably the most compelling thing that’s going on for us, residential, where most of our focus lies right now.
Operator: The next question comes from Tyler Brown of Raymond James, your line is open.
Tyler Brown: So Chuck, thanks for the help on the recycling expectation. So can you give us a little bit of color on your composition of your recycle basket? Maybe by type, say fiber, glass, plastics, etcetera, etcetera?
Chuck Serianni: Well, fiber makes up about 70% of our overall recycling, the rest of it is made up of, as you mentioned, glass. And various plastics and aluminum molds for another metals.
Tyler Brown: Is, plastics bigger in that mix?
Chuck Serianni: It’s probably about 5% or so, of the mix.
Tyler Brown: And then Don, I’m kind of curious, can you give us a little bit more color on Capture? I think you said 17 of 20 areas, I assume that’s the preponderance of your sales people. Is that a good way to look at it?
Don Slager: Yeah, that’s right. We’ll get the other three areas completed here pretty soon, but we just need to get it done by the end of the year.
Tyler Brown: So, bigger question. Where does that really attack in average yield? Is that designed to go after gross price, is it about reducing rollbacks, or is it about narrowing the loss to gain spread, or is it kind of all of the above?
Don Slager: Yeah, so when you think about churn, think primarily of the business loss versus business gained. So again, we review and adjust pricing on every customer throughout the year, in what we call our RPM process, so 12 monthly buckets basically. Ever customer gets reviewed because we have cost inflation, even net of our productivity gains and everything else we do to improve the business. We saw cost inflation, we better recover that. So everyone gets adjusted, there’s some negotiation, there’s some rollbacks, there may even be some losses of customers. Some of those are due to pricing, some of those are due to just competitive behavior. Every once in a while we make a mistake and don’t give the service that we need to give, and customer will leave for that reason, fewer and fewer of those let’s say. But as we’re replacing those customers that we lose, and remember, we’ve got about a 7% defection rate in our business, every year 7% of customers leave us for some reason. We replace those customers. Well the Capture tool is designed really at the heart of that. So as our sales reps are out in the marketplace calling our new accounts, are these maybe new from competition, there may be new, brand new businesses springing out of the ground. We want to make sure at the point of sale, for those new accounts, that we've got better controls in place to get the very best pricing in that situation. So Capture allows our sales people want to be more efficient, they cover more ground. They can see more customers, two when they get in front of the customer, they can do a better job of understanding and segmenting that customer, understanding their needs, that gets tied right into the PBS selling initiative we call [indiscernible] [00:43] selling. So between the PBS training and the Capture tool, we think our sales people now are better equipped to go in and get better pricing on those new customers, by doing a better job of understanding what’s important to them, and what they are willing to pay for. That also again, it makes it more efficient and makes the sale, it makes actually the experience better for customers, because it’s a tablet-based tool, we can show the customer their sample invoice. And we can get a customer signature on the tablet for their electronic service agreement. The whole process just gets tighter and better. And we've got better control, so it’s a cloud-based software. So if we want to raise prices in Denver tomorrow, tonight we can make price adjustments to the actual price sheets that the sales people use. And tomorrow they could be selling at higher prices with very stringent guard rails and limits on their authority and what decisions they can make in front of the customer, so that was a mouthful, but does that help you Tyler?
Tyler Brown: No that’s great color. So I mean as of to date, are you seeing any reduction in churn and or the gap between loss to new business narrow?
Don Slager: Yeah, so we look at average selling price of new customers, it’s kind of on the per unit basis, is one of the ways we do that. You think about average yield in our, average yield at our commercial business in Q3 was 1.8% and Q4 was 2.1%. This is largely focused on the open market commercial and open market industrial business. It’s not necessarily that municipal business, it’s not the residential subscription business. It’s those two big open market verticals for us, and we're seeing improvement. We're getting great feedback from the field, great feedback from the sales team, makes their jobs a little easier. And so it’s the right thing to do, we're excited about it. We're going to rollout these next couple of areas, and then continue to move forward from here.
Tyler Brown: Okay, that’s great. And then if I can squeeze one maybe last one in. So clearly residential has been a big drag just given CPI. And you noted some great success on the new industries, some great data actually that you gave. But how should we think about this business longer term. I mean to me it’s probably one of your lower ROIC businesses. Would you look to retrench if you really don’t have any pickup in CPI and or success on the new industries?
Don Slager: Well we're having success, again, we're not going, I wouldn’t advise you to extrapolate that success easily, it’s very difficult work. The business we have - has an ROI that’s above our whack, I mean so its returning positively, it just has fallen off from where we've come from. And so look, we went through a really tough recession, these municipalities faced with these municipal pensions that we’re failing, faced with the tax basis crumbling, property taxes and all the rest of it. Economy has been battling back, you see all those metrics in the economy, we've been good Republic private partners these municipalities. We did the right thing by trying to help them right size their cost in sort of the time of trouble. We're frankly not willing to go any lower because we can’t, and it’s time for us now to expect lower fair and reasonable pricing mechanism in our contracts going forward. The other thing remember is, four years ago when we were first living for the first couple of years in a slow CPI environment, nobody thought, nobody I talked to thought CPI was going to stay low. Now, back now four years ahead of that, where we are today and no one really believes that, no one see’s CPI normalizing to its 25 year average above 3%. And everyone sort of agrees on the fact that the CPI’s been manipulated. So we can’t live in that environment. And so we are moving forward, as I said, within new industries. We're not going do business or take new business that doesn’t meet our return criteria. And we intend to improve this business over the long term. And we’ve got some good traction so far.
Tyler Brown: All right, perfect. Great stuff, thanks Don.
Operator: The next question comes from Alex Ovshey of Goldman Sachs. Your line is open.
Alex Ovshey: Don, on the CPI point I think over the last couple of months, because it was actually, I trust, lower probably partly due to the decline in energy. Are you anticipating any potential headwind from CPI in ‘15 or is it going to be potentially more of an issue for the company in ‘16 if it stays at these levels?
Don Slager: You got it right, we’ve got that sort of 12 - 18 month lag on CPI, that way it works to our pricing, and it’ll be more of a ‘16 event for us. So we're hoping that these low CPI’s are being forecasted. Start to bump up a little bit at the end of the year, but for ‘15 we won’t have much impact from it.
Alex Ovshey: Okay, that makes a lot of sense. And then on the closed acquisitions in ’14, can you talk about what the expectation is for contribution to EBITDA from those acquisitions in ’15. And I know you talked about - synergy acquisition of the pull, how long could it typically take to accomplish the synergies?
Chuck Serianni: This is Chuck, so most of these acquisitions are relatively small, but probably in the $2 million to $3 million range. And I would say that we can get them up to kind of the company’s current margins relatively quickly. So they’ll perform at pretty much at post synergy levels in ‘15.
Alex Ovshey: Appreciate that Chuck. And then just last question from me, you spent some time talking about some of the new customer service tools that are out there. I’m sure it’s early, but do you think that you could potentially reduce the churn rate in the business as a result? I know that the 7% number we always talk to, but is part of the goal with these in your customer service tools, that number potentially comes down, are you seeing any progress at all on that front?
Chuck Serianni: Yeah, the tools we talked about, the PBS and the Capture, really are focused at bringing our new business correctly. We think about defection, the 7% of the business that we lose, the way we’re focusing on that Alex, is really through all of our customer service metrics. So we track across the entire company at every division, we track miss-pickups, we track service commitments, we have got a number of service commitments that each of our general managers makes to customers in each of our divisions. We know what their adherences of those commitments. We also use something called net promoter score, which we’ve talked about in the past. And we get direct feedback from our customers, every one of our markets. And how they feel about our service and whether or not they would recommend us to somebody else. So we focus on those customer metrics to understand how we’re doing in servicing our customers and how they value us. And basically, we’re trying to drive all of those metrics up, because we want to extend customer loyalty right? We want customers to come with us, we want them to stay with us, because we’re a great service provider and then we meet their needs, and we handle all of that for them right? That’s our tagline; we’ll handle it from here. So we’re working on that, and can we get perfection down from 7%? Well it used to be 10, we brought it down to 7 and we’ll see where we go from here. We do our best, we know our service metrics are improving, miss-pickups are down, service commitments are up. And our net promoter score has improved dramatically since we introduced it. So we also brought customer service metrics into our compensation programs for our general managers. So everyone has got some skin in the game now to improve the customer experience for each and every one of our customers. So that’s how we’re looking to get that done.
Operator: That’s all the time we have for questions today. I will now turn the call back to Mr. Slager for his closing remarks.
Don Slager: Thank you, Sheila. I would like to thank all Republic employees for their hard work, commitment and dedication to operational excellence, and creating the Republic way. Thank you for spending time with us today, and have a good evening.
Operator: Ladies and gentlemen, this concludes the Republic Services conference call for today. Thank you for participating. You may now disconnect.